Operator: Welcome to the NICE Conference Call discussing Fourth Quarter 2023 Results, and thank you all for holding. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded February 22, 2024. I would now like to turn this call over to Mr. Marty Cohen, Vice President, Investor Relations at NICE. Please go ahead.
Marty Cohen: Thank you Operator. With me on the call today are Barak Eilam, Chief Executive Officer, and Beth Gaspich, Chief Financial Officer. Before we start, I would like to point out that some of the statements made on this call will constitute forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be advised that the company’s actual results could differ materially from these forward-looking statements. Additional information regarding the factors that could cause actual results or performance of the company to differ materially is contained in the section entitled, “Risk Factors” in Item 3 of the company’s 2022 annual report on Form 20-F, as filed with the Securities and Exchange Commission on March 30, 2023. During today’s call, we will present a more detailed discussion of fourth quarter 2023 results and the company’s guidance for the first quarter and full year 2024. You can find our press release, as well as PDF of our financial results on NICE’s Investor Relations website. Following our comments, there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations, which differ in certain respects from Generally Accepted Accounting Principles as reflected mainly in accounting for share-based compensation, amortization of acquired intangibles assets, acquisition-related expenses, amortization of discount on debt and loss from extinguishment of debt, and the tax effect of the non-GAAP adjustments. The differences between non-GAAP adjusted results and the equivalent GAAP figures are detailed in today’s press release. The information and some of our comments discussed on this call may contain forward-looking statements that are subject to risks, uncertainties and assumptions. I’ll now turn the call over to Barak.
Barak Eilam: Thank you, Marty, and welcome, everyone. We are once again proud to finish another excellent quarter, fueling our industry-leading fully results. 22% cloud growth, $2.4 billion of total revenue, cloud growth margin of 70.5%, operating margin of 30%, 15% growth in EPS, a rock-solid balance sheet, and record cash generation of $561 million for the year. These results not only outperform our competition by a wide margin, they also put us at the upper echelon of enterprise software. Our cloud growth is at the highest in our industry and on a much larger scale, showcasing our accelerating market share expansion. NICE's best-in-class growth margin owing to our unrivalled cloud architecture allows us to substantially out-innovate while consistently delivering increasing profitability. This market-leading profitable growth places NICE in an elite group of enterprise software companies and provides us a robust balance sheet, enabling the NICE team to consistently deliver quarter-to-quarter, shaping the future of our markets while remaining steadfast to our long-term strategy, uninterrupted. 2023 was filled with tremendous growth and expansion across the board, leading to additional successful milestones achieved throughout the year. We continue to increase our market share, adding nearly 1,000 new customers, displacing competitors with each newly acquired logo. We are leading the cloud migration at the high end of the market, with 26% growth in enterprise cloud customers, building over $1 million in ARR. We achieved strong international Cloud growth, with over 50% increase in our international cloud revenue. Above all, 2023 will be remembered for two ever [ph] defining landmarks for NICE, taking command of the digital engagement market and charting the course of AI in the CX industry. As we enter 2024, following the great success of last year, it is now concretely clear that AI has become an overarching catalyst, unlocking multiple vectors of growth. Our leading edge AI, with its unique data assets, is increasing NICE's cloud win rates across the board, is the bedrock of our rapid expansion into digital engagement, is the convergence power igniting the adoption of our platform, and it is an endless source for a growing number of brand new AI-based solutions with incremental revenue streams. Let me delve a bit deeper into these four growth pillars. With only 20% of the CX market shifted to the cloud, the most exciting part of this transition is about to happen over the next several years. We are already leading with the highest market share in the cloud, attributed to the breadth and depth, scalability, and overall superiority of CXone. AI is now turbocharging our differentiation, further expanding our win rates. In 2023, we saw a 32% increase in the total ACV of CXone competitive displacements. In fact, we delivered a 40% increase year-over-year in cloud enterprise deals, each with an ACV exceeding $1 million. For example, we signed a seven-digit CXone deal with a very large provider to the financial services industry. This customer used an incumbent Sika solution for multiple years, but their IVA failed to deliver the much-desired automation and AI capabilities. We displaced that incumbent thanks to the completeness of CXone. But above all, it was our enlightened autopilot, providing scalable AI self-service that sealed the deal. AI also drove a seven-digit CXone win with a very large international airline. After many years of settling with multiple legacy on-prem providers, they conducted a comprehensive evaluation to migrate, consolidate, and upgrade to the Cloud. CXone was exceptional in all criteria, the decision becoming a no-brainer as soon as they experienced our vast AI offering. Another deal that demonstrated how AI is increasing our win rate is a seven-digit displacement of an incumbent with a large pharmacy provider. Once again, while NICE was the preferred vendor, it was Enlighten AI that made it clear that we were the obvious choice to become the future Cloud provider for all their CX needs. Moving to the second pillar, 81% of consumer interactions with enterprises are digital and the volume continues to grow exponentially. Digital engagements provide the potential to be the most successful for consumer satisfaction, bring the greatest cost efficiency for the enterprise and deliver the outmost tech simplicity. However, most enterprises are still using basic and silent point solutions to engage with consumer digitally failing to deliver on this great potential. Over the past few years, we have been strategically trailblazing the digital engagement market, expanding the power of CXone to cover the entirety of digital engagement and fulfilling the void in the market. The momentum to our ongoing innovation accelerated dramatically in 2023 as we infused the digital engagement capabilities with AI. This is now the fastest expanding part of our business, reflected by an astonishing 6x growth in the volume of digital engagements managed by CXone daily, cementing it as the industry's fastest growing platform. Our digital success in 2023 is also substantiated by a 53% increase in digital bookings. Our AI-driven digital engagement wins continues to accelerate in Q4. In a seven-digit ACV deal, one of the world's largest hotel chains, presently undergoing a digital transformation, came to us for our best-in-class AI digital engagement offering. They selected CXone to be their end-to-end platform, replacing multiple Gen1 digital pure play providers. While consolidation of the silo digital touch points was their top priority, it was our state-of-the-art AI capability, natively embedded in CXone, that fast-tracked their decision. These same positive trends repeated itself time and again in Q4, including a seven-digit ACV win with a large insurance provider in the APAC region, and a seven-digit ACV deal with a well-known commercial provider of integrated security solutions, among many others. AI convergence power supercharging platformization is the third growth pillar. Similar to other enterprise software segments, CX buyers are pivoting 180 degrees from multiple-point solution to building and simplifying their tech stack by standardizing on a single platform. While the value proposition of platform is well understood, its adoption is now gaining a significant boost because it is the only viable way to implement AI that works. Platforms don't appear overnight. It takes strenuous planning with ongoing strategic decisioning, along with a significant decade-long engineering investment. CXone is the only platform in the CX market that was built on these principles from day one, and we have seen the fruits of that investment significantly materialize. AI now adds a new tailwind for customers and prospects to standardize on CXone. In Q4, bookings from new customers adopting CXone as a platform increased to 100%. In these deals, customers selected CXone with three or more applications, displacing at least two incumbent point solutions. One of those AI-driven platform wins was a seven-digit ACV deal with a global provider of technology for commercial real estate. We're uplifting the experience of millions of their customers and thousands of their users by deploying CXone as an AI platform eliminating several incumbent legacy solutions. This theme of AI initiative  This theme of AI initiative, spearheading, platform decisions appeared in multiple other seven-digit ACV competitive wins in the quarter, including one with a large Northeastern utility company where we replace two incumbents and a large European technology consulting company undergoing complete CX modernization driven by AI. Lastly, while AI is powering a superior win rate in codification, digitalization and platformization, it is also a source for a growing number of AI driven use cases, each contributing to an incremental revenue opportunity. Unlike for individuals, the AI adoption cycle for enterprises is complex and it is even more so for CX, which is a highly specialized market. We are experiencing a spike in the number of customers and prospects approaching us after trying to leverage general purpose generative AI technologies unsuccessfully. They come to us with clear realization that enlighten with thousands of CX specific models that are constantly expanding and evolving from billions of interactions is the only viable options. We are defining how AI is adopted for CX as demonstrated by an astounding 375% increase in Enlighten bookings in Q4. We signed a seven-digit ACV deal with one of the world's largest home furnishing companies for Enlighten Copilot and autopilot. In this deal, we replaced the incumbent and competed against two other large cloud and two pure play AI vendors with NICE winning for all for its all-encompassing single platform in CXone and its AI excellence. The wave of adopting Enlighten AI, including Copilot and autopilot, led several other seven-digit ACV deals, including one with a marquee business service company, one of the largest banks in the world and a very large telecommunication company. As we plow steam ahead into 2024, our energy and momentum is at a level higher than I've ever witnessed before and a record-setting pipeline. At the heart of our expanding win rate is our first-class global sales team with unmatched domain expertise, augmented by the industry's largest partner network. This ecosystem continues to grow as partners are always drawn to market winners. And in 2023, 75% of our business was closed with all new partners. The foundation of the great results of 2023 and the just-stream-like momentum we are carrying into 2024 is our 8,400 NICErs, the most energetic, dedicated, and talented group of employees in our industry. I want to thank them for their continued commitment to making NICE the world-class company that it is today. I also want to take this opportunity to thank you, our customers, partners, and shareholders. We appreciate the confidence you place in us and your unwavering support. For us, this great journey to date is only just the overture. The main act is yet to come. I will now turn the call over to Beth.
Beth Gaspich: Thank you, Barak, and good day, everyone. 2023 was another record year for NICE, tapped off by an impressive fourth quarter with strong momentum going into 2024. Both the fourth quarter and full year 2023 once again demonstrated that our financial results shine in the enterprise software market with best-in-class cloud growth in the CX industry coupled with our ever-expanding profitability and cash generation. Before I move to our fourth quarter results, I'd like to start by reiterating that the financial results for Q4 do not include any contribution in the P&L from the LiveVox acquisition, which will only contribute to NICE's results starting in 2024. In Q4, both total revenue and EPS came in well in excess of our expectations. Total revenue for the fourth quarter was a record $623 million, a 10% year-over-year driven by the ongoing strength of our cloud business, which now represents a record 69% of our total revenue compared to 63% last year. Cloud revenue increased 20% year-over-year and 6% sequentially to a record of $429 million in the fourth quarter as we continue to see increasing adoption of our CXone platform by large enterprises driven by demand for our digital and AI solutions which serve as key differentiators in clinching deals and driving our high win rates. Digital and AI are among the key drivers of growth for our business. The opportunity that we provide with these expanded capabilities make our cloud offerings the preferred choice for enterprises that desire to deliver cost efficiencies while simultaneously increasing consumer satisfaction. The further adoption of digital and AI act as significant opportunities for incremental revenue streams into the years ahead. Services revenue, which represented 26% of total revenue, was $162 million, an increase of 1% year-over-year given higher professional services revenue resulting from large enterprise adoption. In line with our expectations, product revenue from on-premise sales, which represented 5% of total revenue in the quarter, compared to 9% of total revenue last year, decreased to $32 million. With the ongoing expansion of cloud business across all our segments, our recurring revenue further increased to a record 88% of total revenue in the fourth quarter compared to 85% last year and crossed the $2 billion threshold for the full year 2023. Recurring revenue is comprised primarily of a combination of cloud revenue and maintenance revenue, which is a component in our services revenue. From a geographic breakdown, the Americas region, which represented 84% of total revenue in Q4, grew 10% year-over-year. The Americas region has continued to excel, primarily from the success of CXone sales in the region. The EMEA region, which represented 10% of our total revenue, increased 2% year-over-year. The increase in EMEA was due to significant growth in cloud revenue, offsetting a decline in on-premise related revenue, primarily from the financial crime and compliance segment. The APAC region, which represented 6% of total revenue, increased 11% year-over-year. The foreign exchange hedge wins in APAC and tailwinds in EMEA offset each other, such that the net currency exchange impact on total revenue was negligible. The international market is highly under penetrated in comparison to cloud adoption in the U.S. This represents a significant growth opportunity for NICE, as we have already made considerable investments in our partnerships, data centers, and go-to-market to capitalize on the growing interest in our cloud offering across the globe. Cloud revenue now represents nearly half of our total international revenue. With respect to our business segments, customer engagement revenues, which represented 84% of our total revenue in Q4, were $523 million, a 12% increase. CXone, the most complete customer experience cloud platform, is the growth driver in customer engagement led by our enterprise-grade CX AI. Revenues from financial crime and compliance, which represented 16% of our total revenue in Q4, and totaled $101 million, delivered as expected and decreased slightly year-over-year. We are continuing to execute on our strategy to cloudify the segment of the market, both to the high-end and mid-tier financial institutions through adoption of our cloud platforms, X-Sight, and Xceed. In Q4, the cloud revenue growth year-over-year was offset by a decrease in cost and services. We expect to see this cloud growth materialized in the revenue stream for financial crime and compliance in future periods, and for the segment to return to growth as the cloud revenue becomes more meaningful. Our focus on continued expansion of our profitability is unwavering and was demonstrated once again in our robust results in the fourth quarter. Our outstanding cloud growth margin reached a record 71.1% in Q4 thanks to our scalable cloud architecture. Our complete CXone platform continues to deliver an ever-expanding cloud gross margin as a result of higher attach rates as we go up market, which contributes incremental cloud profitability. In Q4, operating income increased 15% year-over-year to $187 million, and our healthy operating margin increased 140 basis points to 30% compared to 28.6% last year. Earnings per share for the fourth quarter totaled a record $2.36, a 16% increase compared to Q4 last year. Cash flow from operations in Q4 was $180 million, and for the full year was a record $561 million, an increase of 17% compared to 2022. Our industry-leading free cash flow generation and profitability are the direct reflection of the consistent focus we maintain on delivering increasing operating leverage in our business. Due to our sales wins and laser-focused expense management, we achieved a 26% free cash flow margin in Q4 and 20% for the full year 2023. The strength of our cash flow generation enables us to execute our capital allocation priorities of M&A like our recent acquisition of LiveVox to continue to cement our market leadership and to execute on our share buyback program to return capital to our shareholders. Accordingly, in 2023, we accelerated our buyback program, purchasing $288 million of shares, nearly double the amount purchased in 2022. At the end of last year, we announced the introduction of an even larger plan of $300 million, which we expect to complete by the end of 2024. We successfully completed the acquisition of LiveVox near the end of December 2023. Our balance sheet was consolidated on the closing date and reflects the acquired assets and liabilities of LiveVox. Accordingly, total cash in investment at the end of December totaled $1 billion and $408 million. This healthy year-end cash position is post-the-closing and outgoing proceeds for the acquisition of LiveVox. Our debt, net of a hedge instrument, was $544 million, resulting in net cash and investment exceeding $864 million. In conclusion, our fourth quarter performance caps off a strong year for NICE, reflecting the foresight of our comprehensive strategy of seamlessly implementing CX AI with quality, accuracy, and security on a single platform at scale. Our new bookings in Q4 served as a positive reinforcement of the growing demand we are seeing for our CX AI solutions, and we are excited to continue the strong execution of our strategy across all our business segments in 2024. Before I conclude my remarks, I would like to highlight a few expectations relative to our 2024 outlook. We are reiterating our expectation of cloud growth of at least 18% in 2024, excluding the contribution of LiveVox. We expect LiveVox to contribute approximately $142 million to total revenue, which will be attributed to our cloud revenue line from the start of 2024. We assume some revenue redundancy in the initial year of transition and expect this acquisition to show growth in 2025 and beyond. Our total cloud revenue is expected to exceed $2 billion for the full year 2024. We expect our effective tax rate throughout 2024 to be in the range of 20% to 21%. Now I'll close with our total revenue and non-GAP EPS guidance for the first quarter and full year 2024. For the first quarter of 2024, we expect total revenue to be in the range of $650 million to $660 million, representing 15% year-over-year growth at the midpoint. We expect the first quarter 2024 fully diluted earnings per share to be in a range of $2.40 to $2.50, representing 21% year-over-year growth at the midpoint. Full year 2024 total revenue is expected to be in a range of $2,715 million to $2,735 million which represents an increase of 15% at the midpoint. Full year 2024 fully diluted earnings per share is expected to be in a range of $10.40 to $10.60, which represents an increase of 19% at the midpoint. I will now turn the call over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] Today's first question is coming from Samad Samana of Jefferies. Please go ahead.
Samad Samana: Hi, good morning and congrats on the strong close to 2023. Barak, maybe first question for you. You spent a lot of time in the prepared remarks talking about the impact of AI, the traction that the company is seeing. I was curious, when you think about customers and the engagement that you're having, are you seeing them add additional budget to spend on AI products above and beyond what they would have normally spent in a CX engagement? So, for example, if a typical deal was $100,000, are you seeing them spend 20%, 30% more because of the additional AI products? And is that new budget? We're just trying to figure out maybe if there's additional dollars being allocated in CX because of this.
Barak Eilam: Yes, thanks for the question, Samad. The short answer is absolutely yes. I'll give more color about it. First of all, it's important to say that every conversation that we have today, regardless of what we end up doing with the customer, start with AI, both in terms of the way we position it, but of course, where the customer focus is. And they understand that in order to have AI, they need to obviously move to the cloud, adopt the platform, have all channels on it, look at digital and voice together, etcetera. That was important to emphasize. Going back to your question, yes, there is more budget funneling to it. First of all, because generally, there are more budgets available to AI, and it's easier for any type of executive to get approval for AI. There is somewhat of an AI format, if you would like, in enterprises right now, but specifically in CX, the value proposition is very clear. We need to remember that still 90% of the spending in CX goes to labor. With all the respect to all the technology that is surrounding this customer representative, still 90% of the cost is in labor. And AI, a very straight position, it has two parts of it. It has the augmented intelligence, where it augments the agent, make it a 10x better, obviously much more efficient, so more money can move from labor into technology. And of course, a full automation with AI that allows them to take out the head count on one hand, but applying a healthy amount of it with a greater ROI, 25% of it or so, and apply it to the technology side to AI. So I would say that if you look at CX as a whole, potentially there is no new budget, but there is a major shift from labor to technology. So for us, this is definitely a new incremental budget.
Samad Samana: Great, and then, this may be for you or Beth either way. But you're now, you've closed the LiveVox deal. I'm curious maybe how the initial phases of the integration are going. How are you thinking about integrating their workforce into yours? And maybe what's the initial feedback and how should we think about that timeline of integrating the two businesses together more seamlessly?
Barak Eilam: Yes, so I'll start saying it's early days. We're just a few, a month and a half or so, a couple of months after the closing, but it's going extremely well. From day one when we started to meet with the company, of course, even before the signing and the closing, we saw both the potential as well as the two cultures and the great talent LiveVox brought with them and the deep domain expertise that they bring to the table without too much of redundancies in that domain expertise to what Nice do. So we integrated them together. They're very happy to be with NICE. I just met a lot of them at our sales kickoff, which just phenomenal. And they're all extremely excited to be a part of NICE. And we also see the excitement of our customers and prospects. We see the potential within the LiveVox customer base that was very happy to hear that this is now one company. We see the potential at a NICE customer base that all of a sudden understand that we have such superior capabilities when it comes to proactive outbound and bringing AI into outbound. And above all, it allows us also to further increase our win rate when it comes to completely brand new prospects that are not either LiveVox or NICE customers.
Samad Samana: Great. Thank you Barak so much for taking my questions.
Barak Eilam: Thank you.
Operator: Thank you. The next question is coming from Tyler Radke of Citi. Please go ahead.
Tyler Radke: Yes, good morning. Thanks for taking the question. So, Barak, you talked a lot about some pretty impressive enterprise win statistics, whether it was the million dollar ACV, customer growth, international cloud revenue, really strong. As I look at your cloud revenue performance this quarter, the sequential growth in Q4 was a bit below where we saw the sequential growth a year ago. So, can you just help frame for us kind of the timing of some of this booking strength when you expect that to flow into the cloud revenue? Can I understand there's implementation and things take some time to ramp up? And I guess related to that, Beth, any further color in how we should think about the shape of cloud revenue throughout the year, certainly appreciate the 18% reiteration of organic cloud guide, but just how we should think about the quarterly progression there, given the strong bookings you saw here in Q4. Thank you.
Beth Gaspich: Yes, thank you, Tyler. I'll actually start by addressing your question. I think first, as we talk about our cloud revenue performance for the fourth quarter as well as the year, the full year, I can say in general, we are extremely pleased with our performance. We delivered 22% growth for the full year, 20% growth in the fourth quarter. If you look at the comps out there relative to the other players in the CX markets, we're greatly outperforming. When you look at the sequential growth throughout the course of 2023, the contribution that we made to our cloud revenue in absolute dollars each and every quarter continued to increase. And it's really reflective of just the strength of our overall business and the great win rates that we had during the course of last year. As we're stepping into 2024, we're very pleased again with what we see and the momentum there and the opportunity ahead of us. We've given some very clear expectations that we expect to see 18% growth in the cloud revenue for the full year of 2024. But today we're actually near the end of February. And so we can actually say with strong confidence that we expect that 18% to be steady and really play out pretty uniformly in terms of the quarterly growth year-over-year each and every quarter. We, as part of our business, are constantly monitoring the usage data of our customers. And so we can see that that demand and the growth expectation is stabilized, which again, really further kind of widens the gap, the positive gap that we see relative to other players in the market as we step into this year.
Barak Eilam: And maybe just to add one more thing, if I may, Tyler, because going back to the sequential growth between Q3 and Q4 is best highlighted. In absolute dollar, we added, if I'm not mistaken, $28 million, and this is organic. Not all companies in our space are public, actually most of them are not, but the one that it is, as far as I know, added 8 million and they didn't highlight that most of it is non-organic. So I think that speaks a lot about our market share expansion.
Tyler Radke: Yes. And that's a great segue. Just the follow-up question, Barak, I had around competition. I think last quarter, you talked about winning some deals just from competitors that maybe were shopping themselves around. Did -- was that still in play this year? Did you still see customer’s kind of default to NICE because of some of the M&A activity that some of your competitors are potentially seeking?
Barak Eilam: I think we see a very favorable environment for us in terms of the competitive landscape similar to what I highlighted last quarter. The reasons, obviously, I think at the end of the day, the offering that we have in, and that's the number one reason now [Indiscernible] will charge by NICE [ph]. But yes, the other consideration, we continue to grow our employee base while others are going through multiple rounds of layoffs. And as a result of that deteriorating, the service bay to customers is one example. We understand that some of our competitors took an even larger debt, a very significant debt, making sure that the long run is probably not going to yield a lot of innovation. So these are some consideration customers are having. But generally, as I highlighted in the previous quarter and throughout 2023. And in the quarter we just reported, we feel that our win rates continue to expand. And at the end of the day, when you look at the results and our growth and that Beth highlighted both for the past quarter as well as into 2024. It is much higher than what we are aware of the competition and of course, on a much higher scale.
Tyler Radke: Thank you.
Operator: Thank you. The next question is coming from Meta Marshall of Morgan Stanley. Please go ahead.
Meta Marshall: Great. Beth, in the past quarters, you had mentioned some -- so there were a few macro headwinds to kind of some of your smaller customers. Just wanted to see if you could kind of give any update on what you're seeing with that portion of the market? And then maybe just a follow-up for you. Just given all the opportunity that you're seeing, how you guys are balancing investment levels and deciding where to kind of invest incremental dollars. Thanks.
Beth Gaspich: Thank you for the question, Meta. I guess, first addressing the macro headwinds. It's something that we discussed that we saw somewhat throughout the course of 2023 and was mostly materializing really on the smaller customer base in the SMB segment of the market. If you looked at the fourth quarter seasonality relative to what we have seen in prior years, we did see an uptick, and we've talked about the sequential growth quarter-to-quarter. But relative to prior years, it was lighter. Again, consistent with what you've seen throughout the course of the year. But I think what's really important, and I highlighted it on the question from Tyler is that we have now seen the stabilization. The fourth quarter was the culmination of three separate months. We are now into the first quarter into February. And so we've seen that macro impact, really, I would say, has stabilized, and that's what gives us that confidence to say that 18% is not just our expectation for the full year, but really something that we expect to see pretty consistently throughout the course of each quarter. And I'm sorry, can you repeat your second question?
Barak Eilam: I'll take the second part on the investment base. That's fine. And also, thanks for the question. So in terms of how we prioritize investments, given the demand that we see in the market. I'm a great believer in our innovation. Of course, we continue to invest across the board. But I think the source of why we can invest so well, including and at the same time, increase the profitability in such a great way goes back to our gross margin. We have a gross margin that is north of 70%, very different from what you see in our market. The reason for that is the architecture that we have with a great economy of scale and great unit economics. It allows us to go back and invest at least 15% of our revenue every year. If you neutralize capitalization, it's about 15%. This year, it's going to be roughly $400 million that grew back into R&D, allows us to out innovate and at the same time, provide such a guidance on the EPS and the operating margin and operating income.
Meta Marshall: Great. Thank you.
Operator: Thank you. The next question is coming from Tim Horan of Oppenheimer & Co. Please go ahead.
Timothy Horan: Thanks guys. Can you describe in a little bit more detail why your AI or how it's better than your competitors? And what have you -- where have you seen the biggest improvements to AI over the last three to six months? Thank you.
Barak Eilam: Yes. Thanks for the question. It's a great question and we continue -- I've been in the industry for 25 years or so. And I lived through the different technology waves starting from the hardware, software, Internet, mobile cloud and these days, the AI. And I've seen the pace of innovation of previous waves. And this is nothing like we've seen before. For us, AI is not new. We started our AI journey several years back. We saw the opportunity. And of course, we're very happy that now it takes such a front and center. So we can bring our innovation on time to customers. The reason why we are so successful, I believe, and why customers come to us is some of the assets that we have that -- we didn't start building those assets yesterday. We started many years back. We have a lot of data assets and dots. If you would like the secret sauce or the important part, you have to have a very solid platform. You have to have all the information in one place, well organized, well federated, categorized, but then you have to have a lot of historical data that is both current and related to the past in order to make the AI working. CX is complicated. CX is not a generic industry. No one managed to commoditize CX in the past, and I don't believe it will be commoditized in the future because of this complexity. So while there are great use cases to where general purpose AI can help us as human being and to enterprises in general, there is clear understanding that when it comes to CX enterprises, come to us. And we have a great example we probably presented in the upcoming Investor Day of what happens when you take -- just as an example, you do an auto summary with our Enlighten. This is just a very simple, smaller use cases, do it with Enlighten, do it with a generic Gen AI or any one of our competitors, the differences are just staggering. And it's a huge difference that makes an end of every conversation with the consumer much easier saving about a minute. And if you multiply it here, you see why customers are willing to come to us. Same goes to what we do call Copilot and auto pilot. And whatever I'm telling you right now, in a month, it will become even better because of the way that it is designed, well improving our platform with every interaction and transaction, it continues to process.
Timothy Horan: So have you seen a major improvement over the last year and the features and functionality? Or can you point to what's improved the most? Thanks.
Barak Eilam: Yes. Few things improved quite a bit. The first one -- the fact that more and more customers are adopting it, it helps our own domain expertise in the deployment and how to use it and how to deploy it and best practices and that accumulation of more and more customers. We talked about how many we have added this year. That helps us quite a lot. The second thing is, since Enlighten is well embedded in the core of CXone, every one of our 3,000 developers working on CXone continue now to develop features that are all powered by AI. So now we have this horsepower of so many engineers thinking about fast features that they have and how they are changing them and doing them that is fully infused with AI. I'm sitting on those demonstration of our CXone versions every six weeks. And I remember sitting them and seeing some -- the many features we are adding. Now this meeting used to be 1.5 hours. Now we take 4 hours because the pace of the innovation just drew dramatically. And I can tell much more, but that's kind of some highlights of this excitement.
Timothy Horan: Thank you.
Operator: Thank you. The next question is coming from Siti Panigrahi of Mizuho. Please go ahead.
Siti Panigrahi: Thanks for taking my questions. Probably one more AI questions. Definitely, we're good to see this AI capitalizing some of this customer conversion. So I'm wondering what traction are you seeing with your -- with AI within your existing installed base? Means what is NICE doing to encourage even the installed base to uptake AI solution? And also, are you seeing anything different in AI adopts in the U.S. versus international? And then I have a follow-up.
Barak Eilam: Sure, thanks for the question. So the answer is yes. We're seeing traction, of course, with new prospects, as I highlighted in the earlier remarks, but definitely, within the very loyal and very large customer base that we have, it's also very easy for them to add those capabilities. Don't forget that it's in the cloud. It's a platform that updates itself very frequently. And those capabilities can be toggled on very, very fast. So we have a team, several teams actually that are making sure that our existing customers are up to date on all the capabilities and they add those capabilities, of course, it increases the ARPU and generating the ARR we see from existing customers. So this is about that. In terms of different of adoption between U.S. and internationally, the excitement is everywhere and the adoption or the fact that AI is not triggering, our success is equally as we see it in other territories and not just in the U.S. Of course, there are some local differences between one territory to another. There are some European regulations and things like that. But generally, I think that since the value proposition and the core needs are so similar, I think we'll see the same traction internationally as we see it domestically.
Siti Panigrahi: Great. And then one follow-up on Microsoft partnership. If I remember it, you guys signed that agreement more than a year ago, probably sometimes in 2022. How is that partnership growing? So any update on that?
Barak Eilam: Yes. We have a great partnership with Microsoft. Yes, it was signed. You're right about the timing, but I think it was only July that we actually started to see their go-to-market moving full motion also in terms of their compensation. We have a very large and growing pipeline with them. We had a few wins together with Microsoft in the fourth quarter that the combination of NICE and Microsoft made a difference and help us win the deal. And I believe it will continue to grow moving forward.
Siti Panigrahi: Great. Thank you.
Operator: Thank you. Next question is coming from Pat Walravens of Citizens JMP. Please go ahead. Pat, please make sure your phone is not on mute.
Patrick Walravens: Sorry about that. Barak, what are the top two or three things you need to do to integrate [Techincal Difficulty]
Barak Eilam: Pat, I think it's -- you're breaking up a bit. I think your question was about what are the few things we need to do about the LiveVox integration? Was that the question?
Patrick Walravens: Yes, that's correct.
Barak Eilam: Sure. Thanks for that. So as you know, we have -- at NICE, we had a playbook on how we do acquisitions. In the past 10 years, we've done 20 acquisitions, small and big. And people ask me about why NICE is such a great statistics about making acquisitions, the multiple factors to that. One of them is that before we go and actually close the deal, we have the full PMI, the 18 -- the first 18 months of the PMI fully planned. It's a book with all the details day by day, what are we going to do with all the relevant functions in the company in the first 18 months. So the minute we closed the acquisition, all parties basically move to pure execution mode and follow-up in the execution. No questions that remain out there instead of just starting the planning. So we are now, as I said, about two months into this execution. And I would say that, first of all, from integrating the two organization that's behind us, you can also see it in the great profitability that we have guided to this year, not only from LiveVox, but obviously, they are accretive to that as well. But on the more strategic part of it, we have combined the go-to-market. There is some further training that needs to be done to all different sales organizations in the partner network. That already is in motion, but of course, it takes -- will take a bit more time. And then there are product integrations, very detailed integrations that are planned for the next 12 months. It's already connected and integrated but we are now making it tighter together, and there is a very solid plan for that for the next 12 months.
Patrick Walravens: That’s great. Thank you.
Operator: Thank you. The next question is coming from Rishi Jaluria of RBC. Please go ahead.
Rishi Jaluria: Wonderful, thanks so much for taking my question. First, I just wanted to go back to the AI bookings commentary. I know you talked about, hey, look, it's going to take time to flow through to revenue. In those deals, can you talk a little bit about how does the actual revenue and pricing model look like when it comes to AI? I know you've talked in the past about having maybe some level of consumption when it comes to AI. Maybe if you could help us understand that, that would be helpful. And I have a quick follow-up.
Beth Gaspich: Thanks for the question, Rishi. So we've talked about it a bit in prior quarters. But what we're seeing is we continue to provide more AI-based solutions is that we are now moving towards, as you've highlighted, both in the agency, in some cases, plus an aspect of the consumption-based instances or interactions that are happening digitally. And in some cases, when our offerings are purely digital, for example, there may be a, for example, a base fee on the software plus an additional fee for the consumption use, again, based on the interactions. So we are seeing that, that is continuing to be more of a hybrid model. And of course, it's one of the reasons why we such have such an enormous TAM opportunity ahead of us. We know that the level and number of interactions that are happening across the globe are just growing exponentially. And as our pricing continues to evolve with more and more increase in the sales and bookings of our A&I that is a great opportunity for us to see that incremental revenue more so in 2024, late 2024 and beyond as we materialize and bring those bookings into the revenue.
Rishi Jaluria: All right. Wonderful. And just quickly, what is the services attach look like for AI deals versus non-AI deals?
Beth Gaspich: With respect to services, in general, you might have noticed that, in particular, in the fourth quarter, we had a very strong quarter of services, and it was actually initiated by our professional services. So across both of our business segments that we see that customers need support with deploying our AI solutions. And so there is an opportunity there for a NICE services attach rate. And Barak highlighted earlier in the call, we're often going to market with partners in those deals as well. So there are opportunities both from the collaboration and the growth of our partnership as well as nice attach rates from the professional services side of the house.
Rishi Jaluria: Wonderful. Thank you so much.
Operator: Thank you. The next question is coming from James Fish of Piper Sandler. Please go ahead.
James Fish: Hey guys. On the cloud side, what are you guys seeing with expansion rates with your existing customers? I was guessing it ticked up a bit versus last quarter. And what are you seeing with migrations of your on-prem base this year versus last year as organizations really try to understand and figure out their AI strategies?
Barak Eilam: Yes. Thanks for that. We see there is constantly a seasonality, but we see customers continue to expand into the cloud in different segments. It's not the question of if, it's a question of when and how for them -- so we continue to do that. We see our existing customer base continue to both expand but also the cross-selling activities, as Beth mentioned before. And the -- what we call the attachment rate of solutions to the core of the car solution continue to expand, including with the customer base. So these are kind of the trend, generally, as I mentioned before, when it comes to the conversion of either existing customers of NICE, but more so, of course, the entire base of other on-prem legacy providers because I'll remind you, NICE do not have, we didn't play in the on-prem market of core ACD routing. For us, every time that we win one of those customers, the logos brand-new revenue, cloud revenue stream and not the conversion. Obviously, we have also the WM on-prem basis, but continue the migration in the same pace that we've seen before. And we think that it has the potential to accelerate.
James Fish: Got it. And Beth, you had mentioned the return to growth for the financial crime compliance unit. Did you mean that for 2024, how should we think about the timing or segment growth rates underneath for what's included in guide annually? And what's the mix of cloud versus on-prem within financial crimes given you said it's getting to a meaningful level at this point?
Beth Gaspich: Yes. Thank you for the question, James. So first, I'll say that we are, as I said, pleased with the performance of FCC last year. And our expectation and what we've seen in that business is that the cloud business continues to accelerate and is doing quite well. I think with that business, there are certain financial institutions that still have a preference from time to time to purchase on-prem as well. So you can expect that you may continue to see some variability in their revenue quarter-by-quarter. Once we get to the point where it's really more of an apples-to-apples basis with a cloud versus cloud comparison, I think that is when you'll really be able to visibly see the kind of more linear growth. But we are confident in terms of the momentum that we have in that business that we will see a nice return to growth. We don't provide guidance specifically for the FCC business on a stand-alone basis. But again, I think we're feeling very positive about that business and it's a trajectory and certainly know that it will return to growth in the future, whether it's 2024 or beyond. With respect to the breakdown or the split of cloud revenue relative to the on-premise part of that business, we do not currently segment it. As you highlighted, it is becoming more meaningful. And certainly, we're very pleased with the performance of the cloud growth that they have seen resulting from their Xceed and X-Sight platforms. It's something that we are currently reviewing and discussing and we'll consider -- we'll continue to consider whether it may be something that we break out in the future.
James Fish: Thanks, guys.
Operator: Thank you. The next question is coming from Arjun Bhatia of William Blair. Please go ahead.
Arjun Bhatia: Thank you. One on the AI front. Barak, I know you mentioned that 80% of customers are still on-prem. In your -- I'm sure AI is such a big catalyst to get these customers to move over. But when you think about the timing, are the early signs of ROI on AI implementations enough to get these customers to move over in the near term? Or do you think there needs to be a little bit more of proof points and data points on AI ROI before we see kind of a base inflection curve in -- or a big inflection rather in how these customers move over.
Barak Eilam: Yes. It's -- I -- on a weekly basis, get to speak with a lot of executives throughout enterprises in multiple verticals and multiple segments in terms of size. And I can tell you, regardless, first to CX generally there is somewhat of a -- throughout missing out on AI. And there is somewhat general wrong expectation, again, not necessarily for CX in terms of how fast and how big savings AI will bring to those organizations. Obviously, there are, but there are a bit of an exaggeration at least for the short term. But when it comes to CX, going back to the notion that it is very labor-intensive market. As I said, 90% of the spend is still on labor, it's very repetitive in some cases. On the flip side of it, it is the most mission-critical in terms of customer relationship and protecting the brand. So on one hand, there is recitation [ph]. On the other hand, there is clear realization that when they want to implement AI, it has to be even better than what is being provided today by people. So in the places where it is deployed. And I can tell you we have many of those, and I have conversations with these executive cost effect, we see great ROI to both areas. One is the augmentation of the user, making it, as I said, a 10x better. They see it. I hear great excitement, very specific proof point ROI, and this is accelerating very, very nice, but also due automation. And the two goes together. This notion in the past of -- it's either automated or not is no longer true when it comes to deploying AI, especially with NICE. It is about augmenting the user, finding tasks, finding areas, finding specific users when they're just doing repetitive work, then fully automated. That journey give them the confidence that they can move forward with the AI. So it was a long answer, but the short version of that we see a growing number of very specific improving ROI and they get it, they like it, and this is why we're so optimistic about this year and moving forward.
Arjun Bhatia: Perfect. That’s super helpful. Thank you. I’ll leave it there and congrats on the good results here.
Barak Eilam: Thank you.
Operator: Thank you. The next question is coming from Michael Funk of Bank of America. Please go ahead.
Michael Funk: Thank you for the questions. A couple if I could. So first one related to the prior question. One of your competitors said that they think they're seeing a positive inflection in enterprise migration to the cloud. So accelerating movement, accelerating demand trends that really first emerged in the last quarter too. So I'm just wondering if you're seeing the same trend and if you are, why we wouldn't see accelerating cloud growth in 2024?
Barak Eilam: So we gave some statistics about what we see in the enterprise, and we see this as the fastest-growing part of our business, and it's very impressive. I think that unlike the -- I'm guessing the -- unlike the other competitors that you've mentioned, in our case, you actually see it in the results, not just in the statements. We saw a great growth between Q3 to Q4 in absolute numbers and percentages. And we're giving a very healthy guidance and a steady growth starting from Q1 all the way to Q4. And of course, there is a potential for further acceleration. So it's great. And it's -- actually, I think it speaks about the potential in the market because, as we said before, 80% of the market has yet been cloudified and the majority of it or a big chunk of it is as the enterprise segment where we have a superior win rate.
Michael Funk: Great. Thank you for the color. And one more quick one, if I could. Last quarter, you noted that two of your competitors are attempting to sell themselves, actively at books in the market. Is that still your view?
Barak Eilam: I think that after our call, there are some actual news coming to the market. So I would like to take credit for being able to be the first to let you know. I don't have any other news to provide you this time, but you'll be the first one to know.
Michael Funk: Okay. I look forward to the phone call. Thank you.
Operator: Thank you. The next question is coming from Michael Latimore of Northland Capital Markets. Please go ahead.
Michael Latimore: Great. Congrats on the strong results here. With regard to AI, can you give a little more color there just on the -- maybe the magnitude of the bookings or the revenue? I know it's consumption-based in some situations, so might be complicated. But at some point in 2024, can we see AI exceed 10% of cloud revenue?
Barak Eilam: We don't break it down yet. We gave some color on it. At some point, we will break it down. As I've mentioned before, I think it's important to highlight is that AI is now well embedded in what we do. There are AI-specific solutions where we can actually call out and say this is revenue fully dedicated for AI, and there is an uplift of AI-infused solution, we see we're doing broadly within CXone. So there are many ways to grow about it. Definitely, it's a positive, accretive, incremental part of our business. If and where we think it's worthwhile to break it down and start calling out specifically, we will do that.
Michael Latimore: Great. And then with regard to autopilot and Copilot, is there a noticeable difference in demand for one or the other of those? Or do most customers kind of buy both?
Barak Eilam: It's a great question. Obviously, customers talk to the CX, also the domain expert to CX. And it really depends on the maturity cycle of a customer. And how much of their -- and what is the type of services they provide. So in many cases, we find ourselves together with our partners, consulting to them how to go. They always like the -- if you like, the end state, the journey or where they want to have less users but obviously, highly specialized one, highly augmented with a Copilot, and seeing money moving from the labor to technology with autopilot. But it really depends on the starting point. Right now, I can tell you it's a mix of many things. We see customers starting with Copilots. A few months later, I said, okay, we got it. Now we are ready to engage with autopilot. Some start immediately on autopilot because they had already multiple usually, sales automation issues in the past, like the deal I've mentioned of one of our customers that was -- had a CCaaS solution from a CCaaS provider, a very sizable customer that failed to deliver both on the CCaaS, but mainly on what they call IVA. And they come to us, they now have other pilots and they're doing it very successfully. So it's all of the above. We'll try to provide more color about it as we continue to deploy those in 2024.
Michael Latimore: Okay, great. Thank you.
Operator: Thank you. Our final question for today is coming from Chris Reimer of Barclays. Please go ahead.
Chris Reimer: Hi, thanks for taking my question and congratulations on the strong results. Actually, most of my questions have been answered already, so I won't take long. I just wanted to touch on the outlook for the year, so much positive commentary and strong momentum with the AI product. Just wondering if you could touch on anything that you think might be a challenge or a concern, if anything? And do you think some of the macro-related weakness we've seen last year in the delaying business decisions? Do you think that's behind us?
Beth Gaspich: Yes. So let me take the macro-related comments first, please. I think with respect to the macro, I talked about it a little bit. We have usage from our customers that we see on a daily basis. So we have a lot of visibility into looking at what their utilization looks like, how seasonality is playing out in real time. And so I highlighted earlier that since fourth quarter, we're now towards the end of February. It has given us the confidence to say that we've seen stabilization in the macro and the impact of that in the full year, and that's our expectation. Of course, none of us have a crystal ball. And I think that means there's always a possibility that the macro could have other impacts, but it also equally implies that we have opportunity with the macro further improving that gives us possible upside to the guidance that we've provided as well in terms of the cloud expectation. So again, we feel based on the -- that we feel confident with that 18% that we've given as an expectation for the cloud revenue. And of course, that's exclusive of LiveVox and that, that will play out pretty evenly during the course of the year with the upside possibility. And with that, Barak, I'll let you if there's anything else you want to add for the other question -- part of the question.
A - Barak Eilam: No, I think you answered we're good. Unless Chris had other questions, we're good. Thank you.
Chris Reimer: No, that's fine.
Operator: Thank you. At this time, I would like to turn the floor back over to Mr. Eilam for closing comments.
Barak Eilam: Thank you, and thank you, everyone, for joining us today. We're excited about 2024, and we look forward to update you on the next quarter. Thank you all.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.